Operator: Hello, and welcome to the ABN AMRO Q2 2022 Analyst and Investor Call. My name is Jess, and I’ll be your coordinator for today’s event. For the duration of the call, your lines will be on listen-only. [Operator Instructions] I will now hand over to your host, Robert Swaak, CEO, to begin today’s call. Thank you.
Robert Swaak: Thank you very much. Good morning and welcome to ABN AMRO’s Q2 results. As always, I’m joined by Lars Kramer, our CFO; and Tanja Cuppen, our CRO. I’ll update you on the main topics for this quarter before we start the Q&A session. So let’s turn to Slide 2 for the main events of this quarter. Although the outlook is indeed uncertain, the Dutch economy continued to perform well during the second quarter. We managed to add new business to our lending portfolio, both for mortgages and corporate loans. And as we know on July 27, the ECB ended a negative rate environment. So as a result, our deposit margins are rapidly recovering, and this led to an improvement in our outlook for the full year NII. Fee income increased stronger year-on-year driven by good results in our credit card business and clearing. And on costs, we’re dealing with higher investments and regulatory levies. The full year 2022 costs are now expected at around €5.3 billion, which I’ll further detail shortly. We did have a quarter of net impairment releases and this contributed to a strong net profit of €475 million. Now, we set our interim dividend at $0.32 per share, which represents 40% of our half year results, which is in line with our dividend policy. Our capital position remained strong with a 15.5% Basel III CET1 ratio and we have obtained approval for a share buyback of €250 million. Now this approval is conditional and can only be used in case of a potential sell-down by the Dutch government. The approval does not come with an explicit end date, so we are able to support a potential sell-down at short notice if and when it may come. So let’s turn to Slide 3, where I’ll say a few words about our delivery of this strategy execution. Starting with the first strategic pillar, the customer experience. Now Tikkie started out as a peer-to-peer payment app, we are continuously broadening its use. Recently we entered a partnership, which offers restaurants contactless ordering and payments, which are handled through Tikkie. Our Chatbot Anna is continually being upgraded, now allowing SME clients to check on the progress of their account request. The digital experience is highly valued by our clients with high Net Promoter Scores. Our relational Net Promoter Score for SMEs is, however, impacted by a new fee structure where we pass on some of the KYC costs which we incurred to clients. With regards to sustainability, we continue to make good progress in our overall climate strategy. We will present the climate strategy later to you this year. Straight through processing is an important aspect of making our bank future growth. Currently, 63% of our high volume products and services are now processed straight through, and it includes payments, savings and mortgages within Personal & Business banking. Our target is to have 90% of our high volume processes working straight through by 2024. Let’s talk a little bit about the Dutch economic indicators on the next slide, Slide 4. Looking at consumer spending, bankruptcies and house price developments, these are all holding up. Our low impairment levels during the first half of the year reflect these macro indicators. However, looking at the low consumer confidence level, which is a good forward indicator, we do see a slowdown in economic growth from the impact of higher energy prices in the war in Ukraine. We expect a recession in Eurozone with GDP contraction in the coming quarters and we expect the Dutch economy to follow a similar trajectory. Inflation will remain high in 2023, but expected to drop towards the end as higher energy prices begin to feed through into the economy. Turning to our second quarter results, this is on Slide 5. During the second quarter, our mortgage share increased to 17.5% making us market leader in the Netherlands. Our mortgage portfolio grew by €1.7 billion. Commercial momentum in corporate lending remained high with the loan book growing €1.1 billion. Around one-fifth is due to new clients and this includes further growth from our Northwest Europe strategy. Deposits grew by €2.1 billion during the second quarter held by payment of holiday allowances. And now that the interest rates are back in positive territory, deposit growth will benefit NII. Turning to Slide 6, I’ll update you how positive rates are feeding through into our NII. During the second quarter, deposit margins improved strongly as the yield of the replicating portfolio is rising. As we flagged previous quarter higher rates lead to lower prepayment penalties. Also, as rates rise, we assumed clients with a low coupon mortgage will be less inclined to refinance their mortgage. The effect is an increase in the expected maturity and leads to higher hedging costs. Lower prepayment penalties and higher hedging costs more than offset the increase in deposit margins this quarter. And looking forward to the second half of the year, we expect a further increase in deposit margins, but to a lesser extent as negative client rates will be removed in 2 steps. On August 1, our negative rate was increased to minus 25 basis points. And as of October 1, we will cease charging negative rates. We did not operate repayment of delta and this will support NII in the coming quarters. Prepayment penalties are close to bottoming out and will lead to limited further pressure on NII going forward. The impact of hedging costs for the mortgage portfolio is harder to predict as this depends on how interest rates will continue to move from here. All in all, we now expect full year NII around €5.2 billion and the NII to bottom out sometime during the second half of this year. Turning to Slide 7 on fees. Fees are up 12% year-on-year and all client units have contributed to this result both clearing and payment services fees showed strong performance. Stock markets were down in Q2 leading to less trading activity and lower asset management fees, so it was slightly down from last quarter. Other income was again strong driven by hedge accounting related results at ALM [ph] and decent private equity results. So turning to cost then on Slide 8. This quarter, we added €34 million to the AML remediation provision. We agreed with our regulator to incorporate some additional requirements and are committed to finalize the remediation in 2023. And as you can see from the chart, underlying costs are stable showing small declines over the past 2 quarters. We are making good progress and cost savings, though this is not fully showing through due to an increase in investment spend. These additional investments are, for example, in the area of data sourcing. We’ve also faced with – we are also faced with the delay in migrating applications to the cloud, amongst others caused by [insurance 2] [ph] developments. And as a result, we’re bolstering our on-prem cloud infrastructure, which was not in our original plan. Looking ahead to the second half of the year, we plan to bring down IT cost by reducing external FTEs and decreasing our spend on contractors. In addition, we expect to make a good step in bringing down our business as usual AML costs, again, by reducing external FTEs. Many processes are still manual, and we will increasingly automate processes and focus our efforts on areas with the highest AML risk. Apart partially offsetting these savings will be amongst others higher regulatory costs as we face higher contribution for local bankruptcy and some inflationary pressure. Taking all factors into consideration, I expect the underlying cost base to start declining leading to full year cost of around €5.3 billion, of course, excluding the incidentals. Now that takes us to our 2024 cost target on the next slide, Slide 9. Shown here on the left is our expected cost base for 2022 of €5.3 billion. We split out the €1 billion of costs for non-core regulatory levies and AML. On this part of our cost base, we are looking to achieve an aggregate over 40% cost reductions towards 2024. This is versus our original strategic plan. We now assume the SRF and DGS contributions to decline in 2024 once these funds are filled, resulting in around €200 million lower regulatory levies. And I discussed how we plan to bring down AML costs and this will contribute to over €100 million. In addition to non-core wind-down is on track, delivering another €100 million, so then moving to the main cost base at €4.3 billion for the full year 2022. Here, we’re looking to achieve a cost reduction of around 5% by 2024 or around €200 million. Overall, our cost savings programs need to exceed inflation by around €100 million. Savings will be achieved through a lower IT run and change costs and further organizational and product simplifications, for example. The final component already mentioned being the heightened investment spend for strategic initiatives. So we assume a normalization further reduction towards 2024 of around €100 million. So I remain optimistic, we can drive our costs below €4.7 billion by 2024. Turning to loan impairments. Our impaired loan portfolio decreased compared to previous quarters by around – I should say, to the previous quarter by around €0.5 billion as we saw repayments sale of non-performing loans and cured loans. This led to impairment releases, which were partly offset by model adjustments related to our residential mortgage portfolio. These adjustments captured some of the effects of the strong rise in house prices, and increased refinancing risk for interest only mortgages. We continued an overlay for the uncertainties following from the war in the Ukraine on the economic developments. So looking ahead, we expect the cost of risk to remain below that through the cycle rate of 20 bps in the second half of 2022. Turning to Slide 11 on our long-term financial targets. Let me just recap the main messages. We have 2 good quarters, leading to an ROE of 7% over the first half year. This result was helped by impairment releases this quarter. And we are at an important junction in terms of our operating income. The positive interest rate environment means NII is indeed bottoming out and underlying costs are peaking as our cost savings are delivering. These positive jaws will then support our results as we go into an uncertain future. We are well prepared in terms of capital buffers, given our strong capital ratio. So far this year, including final dividend, the completed share buyback in this interim dividend our total distributions amounted to around 40% of our current market cap. With the approval for a €250 million share buyback, we can support our majority shareholder in a [potential sell-down] [ph] if and when they decide to do so. Our intention to use share buybacks to optimize the capital position has not changed. We will evaluate next steps on capital distributions, as we talked about previously in the fourth quarter. And, of course, we will then take into account the capital position and the outlook at that time. Now that brings me to the end of our Q2 presentation, I’d like to ask the operator to open the call for questions.
Operator: [Operator Instructions] The first question comes from the line of Robin van den Broek from Mediobanca. Please go ahead. Yes, sir. Good
Robin van den Broek: Yes, good morning, everybody. Two questions I have to pick. First of all, on NII, I was just wondering if you could give us an update on the constant rate scenario that you’ve given at the Q1 stage. So basically, what kind of uptake can we expect on NII from replication treasury in 2023 and 2024, if rates stay flat for a certain date? And in relation to that, I was just wondering if there’s any change is going on considering your hedging strategy. In the past, you’ve always talked about the barbell with an average maturity of 5 years. I was wondering if that’s still the same, or that you have a view there and are moving it around a bit. Then the second question, I’ll concentrate on costs. You’re below €4.7 billion as you reiterated, but as opposed to before, you’re now also leaning on lower regulatory levies. So it does sound like the underlying narrative on costs has deteriorated year-to-date. I was just wondering, what exactly was that? Was it inflation? What are other factors that were driving that? And what can give us the certainty that this does not continue to slip? Thank you.
Robert Swaak: Yeah, Lars, could I ask you to take the question on NII and give a little bit further detail on cost, in the assumptions?
Lars Kramer: So on the NII, I mean, we haven’t updated our sensitivities that we shared in the first quarter, what we have obviously done is upgraded the guidance for the current year and that guidance is driven by the non-early repayment of the TLTRO. So that is one of the bigger contributors as well as, as we did say in the last quarter with the sensitivity, there is a component of additional pickup even this year and we’re seeing that coming through. Now, in terms of future expectations, I think, we need to see what the forward rates do actually pan out to be. I mean, the one thing I can say is that our current forward rates, we do continue to see that we will get to a 10% ROE, if they play out by the end of 2024. In terms of the hedging strategy, no, we haven’t really changed our hedging strategy at the moment, I mean, it is dynamic. It will. It’s very sensitive, obviously, to how things are evolving in terms of customer behavior, but at the moment, we haven’t changed any strategies materially. I mean, we obviously doing more hedging as the curves steepen. And then on the costs, the deterioration in terms of our longer term prospects, we are still firmly sticking to and committed to our €4.7 billion. And what we’ve tried to give you this quarter is a little bit of line of sight as to how we expect to get there and you write the levies that we are including at a lower amount of €200 million. But we’ve also looked at the core cost base that Robert was referring to. And in that core cost base net of inflation we’re seeing – we’re building an additional reduction. And the inflation that we’ve built in there for some insights is around 2% to 3%. So that that is something that we are also having to take into account. But that’s probably where the deterioration comes from that you’re referring to.
Robin van den Broek: Okay. That’s very helpful. Thank you.
Robert Swaak: Thanks.
Operator: The next question comes from the line of Tarik El Mejjad from Bank of America. Please go ahead.
Tarik El Mejjad: Hi, good morning, everyone. Two questions, please.
Robert Swaak: Good morning.
Tarik El Mejjad: First of all on NII, can you please clarify why you couldn’t go back to zero in terms of charging for retail deposit rate way given ECB went to 0 in July? How confident you are that from a political point of view, you don’t have any resistance to that and take some of your competitors already moved to 0 straightaway. So – and what would be then the guidance on NII, if you have to move to 0 in August instead of October? And then second question, maybe I will then focus on capital. So in your final remarks, you reiterated the 50% threshold for buyback. But last year – I mean, this year in February, when everything was fine before the war, we were expecting you to return everything above 15 and be constructive on capital return, you didn’t deliver that. What – why would you – why do you still keep this policy of 15% above the share buyback, where clearly you are building above that – way above that 16% plus by year end? And how are you kind of give us confidence that you will distribute that that capital? Thank you.
Robert Swaak: So let me take the question on NII. Lars, do you want to reflect on the threshold, the 15%. Yeah, on NII, as far as I’m aware, there’s only one competitor that’s moved directly to 0%, we communicated a very clear 2-step approach. We moved up 25 bps, we would remove 25 bps of negative interest around the 1st of August, and removed the remaining 25 bps 1st of October, that doesn’t change our NII guidance, those steps that we have taken. So we were including the steps, we are currently taking them to bring off the negative rates. We would still stick to the guidance around that €5.2 billion. Then maybe, Lars, on threshold.
Lars Kramer: Yeah, in terms of the threshold at the moment and what we also have reiterated in Q1 is that this threshold is not a constrained factor for us at the moment. And, therefore, our framework stays in place, as you can see in terms of our conditional share buybacks that we’ve worked on this quarter. We are still committed to returning capital. We’ve also been consistent in saying that we want to have a deliberate of moderate strategy of capital return over time and that it is a multi-year approach. So the intention was never to immediately return everything above the 15%. So – and I think we are still continuing with that sort of approach.
Tarik El Mejjad: Sorry, just to follow-up on this last point. I mean, if I remember well, the idea was that you retur above 15%. And then convergence from 15% to 13% will be done over time. So what you’re saying now is that even going to 15% will be gradual?
Lars Kramer: Well, going to 15 was in terms of also where we set the first share buyback at about €500 million. At that point, we said that we would try to come back on a multi-year approach and the €500 million to become something a bit more consistent. So from the perspective of the €500 million over how many steps, and when does it hit the 15%, I wouldn’t say that to our instants immediately linked. It’s only when it becomes a constraining factor that we would then address it.
Tarik El Mejjad: Okay. Thank you very much.
Robert Swaak: Thank you.
Operator: The next question comes from the line of Giulia Aurora Miotto from Morgan Stanley. Please go ahead.
Giulia Aurora Miotto: Yes. Hi, good morning. One clarification first on capital distribution. And I believe previously you said that to launch the new tranche of the buyback, you will need clarity on visibility on the full year results. And my read of that was that it was open between basically Q3 results or full year results. Is this still the case? Or would you say that really we should expect any new – we should not expect any new capital announcement before the full year results, which will be most likely in February, I guess? So that’s the first question. And then the second question. I know the Netherlands is not particularly reliant on Russian gas. But if there was a cut off, of course, this would have an effect on overall macro assumptions. And, I guess, potentially also building that the economy has with other European countries. So have you run a scenario of a Russian gas cutoff and what that could mean for cost of risk for ABN? Thank you.
Robert Swaak: Well, I’ll ask Tanja to address the second question, Giulia, thank you for your questions. Your first question, it is still our attention to review the capital return, as we talked about in Q4, or around the periods in Q4, having done full visibility of full year results. So the share buyback that we’ve now announced, which is conditional on NLFI doesn’t change that intention at all.
Giulia Aurora Miotto: So that would be – can be also in November, because then you would have enough visibility or not really? It would be…
Robert Swaak: So when we have sufficient visibility on the full year results, and I don’t want to get that could be November. But it really depends on how this year further evolves. I’m sure you appreciate.
Giulia Aurora Miotto: Perfect. Yes.
Tanja Cuppen: Yes. And Giulia, on your question with respect to dependency on Russian gas, indeed, the Netherlands is not that dependent on Russian gas, but of course, is an open economy and will be impacted by the developments in Europe more broadly. We have run a scenario to include a complete cutoff in Europe from Russian gas. That’s actually our negative scenario that’s also included in our quarterly reports. And that impact is mainly then to the macroeconomic variables that deteriorate, and how you will see that it leads to a recession in the Netherlands in case that would happen. Of course, it’s very difficult to estimate what in there which individual companies will be impacted, because it depends very much also all kinds of supply chain effects that we will see at that point in time.
Giulia Aurora Miotto: Do you quantify it? Sorry, I might have missed it.
Tanja Cuppen: No. We don’t quantify it externally. The only thing that you can read in our report is the effect of the negative scenario for stage 1 and stage 2 provisioning. So that would lead to additional stage 1, stage 2 provisioning of, I think, around €75 million.
Giulia Aurora Miotto: Okay. Thank you.
Operator: Next question comes from the line of Farquhar Murray from Autonomous. Please go ahead.
Farquhar Murray: Good morning, all. Just two questions if I may. Firstly, thanks to the details on Slide 9 on cost, that’s actually really helpful. I’d like to focus on the net cost savings figure of €0.1 billion that you flagged on the core cost base. Could you possibly decompose that between inflation and actual cost saving elements that you currently anticipate? And could you also update me on how this compares or tells the original cumulative cost saving targets €700 million? I’m presuming you’ve possibly incorporated some incremental savings to offset inflation. I just wanted to understand that. And then, finally, and apologies if I missed this earlier. But how did you arrive at the €250 million the buyback approval figure? Was there any maths around that? Or is it just an informed guesstimate? And might you see incremental approvals later this year, if necessary? Thanks.
Robert Swaak: Thanks for the questions. Lars, can you take the cost question, and then I’ll address the €250 million?
Lars Kramer: Yeah, on the net cost of saving of €0.1 million, what we’ve done there is effectively looked at an inflation amount of about €200 million, which translates into roughly about 2% to 3% on that core base, and then looking at savings of around €300 million. And these savings are pretty much in terms of the underlying initiatives are very much broadly part of the same underlying initiatives that you’re referring to in terms of the €700 million. So we just continue with those and execute. Okay.
Farquhar Murray: Okay.
Robert Swaak: Yeah. And then on the €250 million, basically, we took a view, as you recall in Q1, we came off of our inaugural share buyback. We wanted to have a – for any further decision on share buybacks we needed to have more clarity on full year results. We knew because the minister had signaled that she had asked NLFI to investigate conditions under which a potential sell-down could occur. We then took a view that in order to support, if and when such a sell-down would occur in order to support it, we would have to come up with a number for in terms of a potential share buyback. That number of €250 million is predicated on the fact that it’s an open-end permission that we have from the JST from the regulator. Because clearly, this is an approval that is conditioned on a sell-down by the government. So it’s in that sense open end. We also take into consideration the uncertain economic times, clearly that we’re up against, and that we’re all up against. And therefore, we came to a number of €250 million. We feel that this is a number that would adequately support a potential sell-down by NLFI.
Farquhar Murray: And just to follow-on, how does that 2% to 3% inflation assumption compare to say what you’ve achieved in terms of the CLA conversations to date?
Robert Swaak: We’re yet to have the CLA conversations. So those conversations are to start at the end of August.
Farquhar Murray: Okay, great. Thanks.
Robert Swaak: Thank you.
Operator: Your next question comes from the line of Benoît Pétrarque from Kepler Cheuvreux. Please go ahead.
Benoît Pétrarque: Yes, good morning.
Robert Swaak: Good morning.
Benoît Pétrarque: So, yeah, a couple of questions on my side. So, first of all, on NII. So if I understand correctly, you still guide for €0.2 billion incremental in 2023 versus 2022. Probably we need to adjust for the lower TLTRO benefits then coming in 2023. So if you could just move from that? And also, what is your view on the pass-through going forward? It seems that the exit of negative rates went a bit faster than expected. Does that change potentially your view on a potential pass-through above the 0% a bit more intensive versus your expectations? And then also on NII to go further on that. But what is your view currently on the mortgage markets? Clearly, we see extremely high margins on front book margins. But we also see volumes coming down. So others that play into NII for the rest of the year, will that be a net positive on NII? Or will that be broadly neutral? So that’s the first set of questions on NII. And then the second one is more on cost. I think you have this €5.3 billion for 2022. Do you expect restructuring costs for the second part of the year or so maybe linked to a potential agreement on the CLA? And just very final, I don’t understand why a regulator approves a buyback conditional to, well, the exit of this state on the selloff of the state. I mean, could you still be able to execute a buyback in the states says a couple of days or weeks? Well, it’s not the right timing for first to exit. Just wanted to understand, why buyback can be conditional to shareholders selling basically. Thank you.
Robert Swaak: Okay. I’ll take the share buyback questions. Lars, do you want to address NII costs? So, yeah, that condition is just indeed predicated on a decision that the NLFI will take. So if they don’t take a decision, there’s no share buyback, there’s no €250 million share buyback. If they do take that decision, then we have permission and approval to execute the €250 million share buyback. I think you see that irrespective of an overall consideration that we will have towards the end of the year as we discussed this previously on share buybacks. So this is a specific share buyback approval, conditioned on a sell-down. So if the sell-down occurs, there’s a share buyback and if the sell-down does not occur, there’s no €250 million share buyback. In that sense, it is indeed open ended.
Lars Kramer: Okay. And on the NII, if I remember your first question was about a €200 million impact next year. I mean, that €200 million, I think, if you’re referring to what we showed as the sensitivity, I mean, we haven’t updated our sensitivities for next year. But what we have done is apart from upgrading the current year to €5.2 billion on NII. We’ve also moved forward the bottom of the NII from first half of next year to the end of this year. So, I think, that gives some indication that things have improved. In terms of mortgage markets, you’re right, I mean, the margins at the moment are elevated in terms of over the past 6 months, but definitely the more – the volumes are well done. And you can see that also in terms of refinancing volumes, and the pre-payments that we were talking about. If I take a sort of combination of margins and volumes, I would say that on this one, I’m looking forward for the rest of this year. I’m pretty neutral, because the bulk of the movement really comes from margin improvement on the deposit book, and then any offsets to that. And that probably links through in terms of your negative rate question is the negative rates will start feeding through partially in Q3, and then pretty much the full catch up in Q4. And then on an annualized basis, that will be at fully next year. In terms of reorganization provisions, that will flag reorganization provisions as and when they come at the moment. I don’t have a line of sight yet. Yeah, thank you very much.
Benoît Pétrarque: Yeah. Thank you.
Robert Swaak: Okay. Thank you.
Operator: The next question comes from the line of Benjamin Goy from Deutsche Bank. Please go ahead.
Benjamin Goy: Yes. Hi, good morning. 2 questions from my side, please. The first one that interest income you booked €41 million of TLTRO III benefit in the second quarter. Should we expect the same run rate in the second half? And for how long would you book to benefit going forward? And then secondly, just a quick one on management overlays, could you update us on the total amount you have reserved so far? Thank you.
Robert Swaak: Thank you. Lars on TLTRO, and Tanja.
Lars Kramer: Yes, in terms of the TLTRO, the €41 million, we expect to see that coming through for the second half of this year, as well as probably through until June next year when we have contractual maturity, similar to this – that’s the best prognostication.
Tanja Cuppen: And then maybe on the management overlays. Total management overlays amounted €350 million, and about 40% of that is related to Russia and Ukraine. And so 10% still COVID-related for the smaller end of our corporate portfolio.
Benjamin Goy: Okay, thank you.
Robert Swaak: Thank you.
Operator: The next question comes from the line of Kiri Vijayarajah from HSBC. Please go ahead.
Kiri Vijayarajah: Yes, sir. Good morning, everyone. A couple of questions. So, firstly, in terms of the NII outlook for the second half, you’ve given us some really helpful guidance there. But I was just wondering between the third quarter and the fourth quarter, is it fair to assume it’s going to be a bit of a V- shaped that the 3Q is going to dip a bit? And then it’s really fourth quarter when we see meaningful improvement? Or is it going to be a bit more kind of linear between 3Q to 4Q? So just some color on the timing of the NNI evolution? And then just quickly, turning back to the management overlays on the mortgage book, could you just have a bit more detail on what you’ve changed in terms of your assumptions there, say, in terms of what your expectations are for future house price declines that you’ve now baked into the numbers? And have there been any specific triggers within the mortgage portfolio that’s been the prompt here? Or is it more just a kind of forward-looking kind of general caution in terms of the outlook? Thank you.
Robert Swaak: Tanja, do you want to start on mortgages? And then, I’ll take the NII question.
Tanja Cuppen: Yeah. So on mortgages, maybe first on overall, which you see in the provisioning levels for mortgages. So the first item that has an impact on the levels that we provision is the economic outlook. That, of course, is more negative than what we have seen before. And that is well in models. Then additionally, we indeed take a haircut [ph] on the house price projections. And we do that already consistently over time, but that’s how you need to see these in combination. And then the third item that we also include in the management overlays, the €350 million that I just mentioned, is looking at the refinancing risk for interest-only mortgages. So at the end of the term of an interest-only mortgage, the principal is still outstanding and we increased interest rates and needs to be refinanced as well in the increased interest rate and, therefore, for some of our clients, that will mean an increased risk. And for that we – there is a calculation we also do every quarter. But because rates have gone up, that amount is bigger. You see that also in the coverage ratio for mortgages. So that went up from 4 point – I think 5% to 7.2%. So we are better protected there for downturn risks.
Kiri Vijayarajah: Thank you, Tanja.
Robert Swaak: Yeah. And then in terms of the NII evolution over the next two quarters, I mean, I’d rather just stick with the fact that we are going to hit bottom in the second half. Again, there are quite a few moving parts in terms of where prepayments go, if rates go up sharper, and we have to do more hedging is could have an impact. I think the negative rates clearly will have a bigger impact in the fourth quarter, than they will in the in the third quarter. Because in the third quarter, it’s 25 basis points for effectively 2 months, and then you get the full 50 basis points coming for the last pretty much for 3 months. So, those are going to be the impact factors. So we’re comfortable saying things are going to turn around by the end of the year. But I don’t want to really go into the shape on a quarterly basis.
Kiri Vijayarajah: Okay. Great. Thanks, guys.
Operator: The next question that comes from the line of Anke Reingen from RBC. Please go ahead.
Anke Reingen: Yeah. Thank you. Good morning. Thank you for taking my question. The first is on the €250 million. I mean, how quickly? Or is it possible for you to scale it up in case the government decides to sell a larger stake? And you could take more of those shares up? And on your comment, to gradually reduce your excess capital could further – I mean, I’m not sure if you can comment. But could basically further placing of government banks accelerate that production excess capital? And then secondly, on costs, how quickly should we get to their €4.7 billion apart from the levies? Is it pretty much back end loaded? Or should we think about a gradual decline? Thank you very much.
Robert Swaak: Yeah. Let me take, capital and Lars will back on cost. Yeah, on the €250 million, the €250 million right now is the €250 million. So we will await when and if the NLFI communicates. And then clearly, we’ll see what we need to do next. But the share buyback in relation to a sell-down by the government, as we’ve communicated today will remain €250 million. Now, what may happen in the future, any potential other sell-downs at any given point in time? Clearly, we will have to assess then what we then need to do. For now this is the €250 million associated with a potential sell-down of the government yet to be communicated. Lars?
Lars Kramer: Again, in terms of the cost trajectory, the €4.7 billion is clearly our goal for the end of 2024, so fully across 2024. In terms of the trajectory, we are now getting into that window, where initially a year ago, we were talking about things would be more back end loaded into years 2 and 3, and we are now approaching years 2 and 3. So I would say they will be a bit more of a – I won’t say a perfectly even path, but they will be stepped on in 2023 and 2024, rather than it all being loaded into 2024.
Anke Reingen: Okay. Thank you very much.
Robert Swaak: Thank you.
Operator: The next question comes from the line of Guillaume Tiberghien from BNP Paribas Exane. Please go ahead.
Guillaume Tiberghien: Yes. Good morning. I’ve got two questions. The first one relates to AML cost on the Slide 9, if I understand correctly, you want to go from €500 million to just less than €400 million in 2024. That still seems quite a huge number, as it would be like about 8% or 9% of your overall cost base, so any more room to cut beyond that level? The second one is with regard to the NII in the corporate center, you highlight the steering cost. Should we expect that this will now be allocated to the divisions from Q3 onwards? And maybe a final one, if I may, on the RWA. Any more headwinds to come either from models or from regulation, please? Thank you.
Robert Swaak: Okay. I’ll take AML remediation; steering costs, Lars; and then RWA, Tanja. I think, what you’re seeing the reduction we’re looking at here in a more efficient AML process, this is the BAU. So this is the business as usual process that we are continuously upgrading. And that will come through the automation that we’re currently investing in. Again, this is AML related to our business as usual activities. We are continuously looking at improved risk-based approaches, which will make our work on AML much more effective. And we’ll continue to put those the risk-based approach to you. So we do expect them we’ve actually seen a continuous improvement around our AML, BAU processes. So that’s why, we are quite confident on the number that we’ve included here. On the steering cost, Lars?
Lars Kramer: Yeah. I think, in terms of steering and the accounting or the allocation of steering. I think, we’re being quite consistent in our accounting, I mean, the steering is not something new. It’s elevated at the moment, because of the interest rate dynamic, but we do steering on a continuous basis. So we’re not planning on changing any of our allocations.
Tanja Cuppen: Yeah. And then on RWA. So maybe, first of all to mention that, hey, you see already for some time that our Basel III and Basel IV RWAs are converging. The Basel III number is coming up that has to do with redevelopment of models. So we will continue to redevelop models, but everything that we can see right now and have visibility on that. We have included in RWAs, also we take steps to go to less advanced approaches to standardize approach or foundation, head of Basel IV, and also the visibility that we have there we incorporate to the extent possible. I think there’s no new regulation on the horizon with respect to Basel III. And of course, for Basel IV the translation into regulation is happening as we speak. And we hope that in the course of next year, we will get full visibility on the impact of that. Does that answers to your question?
Guillaume Tiberghien: Yeah.
Lars Kramer: Thank you.
Robert Swaak: Thank you.
Operator: Next question comes from the line of Robin van den Broek from Mediobanca. Please go ahead.
Robin van den Broek: Hi, guys. Sorry for coming back on the queue. The first question is actually, I mean, I don’t really understand why the ECB cares about the NLFI participating in a buyback. And could you maybe specify clearly what kind of participation does that entail? Can I just do one share and still basically raise their overall stake? Or does the stake have to come down in that scenario? And if you do further buyback initiatives within Q4? Would that have a similar restriction? Or can that just be a normal buyback? And on fees, I noticed that there was still a bit of an uptick in wealth management – sorry, there was some net new money in wealth management. Just wondering what was driving that and how that would affect your outlook? Because I think in Q3, there’s also a €50 million annualized bump from the increase in payment packages. So just wondering how you are thinking around to development stuff. Thank you.
Robert Swaak: I’ll take the buyback, and Lars, will take the second question. This is a buyback that we had applied for a share buyback of €250 million and, as you know, the regulator has to approve the requests that we put in for share buybacks. It is conditional on a potential sell-down by the government. And clearly that aspect plays into the open ended approval that we then get from the from the JST. We have to get permission and the reasoning for the regulator leads to the regulator. We got the permission, it is open ended, and it is contingent on the state selling down or beginning to sell-down process. Does this decision impact in any way at potential other conversation we may have on share buybacks, when and if we decide to proceed with share buybacks at the end of the year, and we will have again the conversation that we continue to have with the regulator which is a very constructive dialogue. So I would expect that then at that time to occur as well.
Robin van den Broek: So just to be cleared in this specific buyback approval, yourself added this restriction into the mix. And when you go for other buyback approvals, you can leave that up.
Lars Kramer: Yes. This is a very special, because it was basically we wanted to anticipate, also the approval timings would be very tight. So to get something done, so that we have to have it on the shelf actually required us to have something conditional to have something which was tailor made in terms of size as well, taking into account, the existing risks that we face with the structure crisis, and we still have a lot of unknowns coming away.
Robin van den Broek: And the condition is that the end of the price stake goes down? Or…
Lars Kramer: Yes, the conditionality is that they actually do a sell down and trigger a sell down.
Robert Swaak: But is that in the absolute number of shares? Or is that is percentage the overall…
Lars Kramer: No, it’s basically triggering a sell-down is the trigger. So on the NNA, for wealth, the net new money there was predominantly in our custody business. So there was a little bit of additional cash that was coming in. So it wasn’t really in discretionary portfolio management. So I don’t expect that to have a significant boost to the overall fees in the second half. But it is still pleasing to see that there is new money coming in. I mean, obviously on the wealth side we’re getting much more negative impact as a result of the whole portfolio under management coming down in value. But really, if you look at fees overall, we are now getting the final, I guess, tailwind of the card activity coming back to sort of pre-COVID levels, also for the international components, not just the local components. And with the volatility in the markets, really our earnings in the clearing space are holding up very nicely. But that more than offsets, certainly on a year-to-year basis, it offset on a quarter-to-quarter basis, we were able to maintain fee levels overall.
Robin van den Broek: Thank you for that color.
Operator: The next question comes from the line of Omar Fall from Barclays. Please go ahead. Hi, there.
Omar Fall: Hi, there. Just 2 questions, please. Sorry, I must be a bit slow or I’ve missed something. But the conditionality around this specific €250 million buyback is that there would be no transactions with minority, well, non-NLFI shareholders. Is that correct that this is an entirely targeted buyback with NLFI? That’s the first question. And then second question, just going back to NII and Slide 6 and those 2 components, the mortgage prepayment sequential minus €40 million and then the steering costs, minus €50 million. You’ve highlighted that we’re near the bottom for mortgage prepayments, which is kind of in line with one of your peers. And then the steering costs, I understand the bulk of that is front loading of changing in the swaps porting the mortgages. So to be clear, mechanically, if rates don’t move, these 2 components don’t see any sequential change. Is that right? I’m not asking for guidance, just the mechanics of how those 2 elements work that if rates don’t move, and therefore, you don’t get a change in duration of the average mortgages and/or changes in prepayment activities that those 2 components don’t move at least Q-on-Q? Thanks.
Robert Swaak: Okay, let me take the first question. Lars, you can take second question. We can – the way the transaction will be started will be by the NLFI. But we can do minority shareholders that is included, so this is predicated on a transaction that the NLFI will instigate, and we don’t know what the transaction would look like. It is for the NLFI then to decide and communicate and then we will take next steps as to how we would start to the share buyback.
Lars Kramer: In terms of the prepayment impact and the hedging impacts, yeah, if everything stays perfect is stable and pursue in terms of, no more prepayments or no more additional sort of significant interest rate rises. Then you could say if we’re comfortable with that position now, yes, then it stays stable. But, again, these things are dynamic. We may take some views on duration management, which are different to today.
Omar Fall: And maybe, sorry, just a quick follow-up. So I think the prepayment penalties were just over €250 million or so last year. What’s the run rate at now?
Lars Kramer: But I would say what we anticipate is that these prepayment penalties will probably drop back down to about €17 million a year. So we’re not fully there yet.
Omar Fall: Thank you very much.
Robert Swaak: Thank you
Operator: There are currently no questions in the queue. [Operator Instructions] And the next question comes from the line of Raul Sinha from JPMorgan. Please go ahead.
Raul Sinha: Hi, good morning. Thanks for taking my question. I’ve just got one follow-up on costs. I was just trying to understand what has changed relative to your previous cost trajectory in terms of you’re now assuming €200 million of additional reduction in your costs from DGS in 2024. What was the offsetting increase on the other side in your original plan? If you can clarify that that would be really helpful to understand where the costs might have changed or gone up relative to your previous sort of targeting. And then related to that, can I just ask the basis for the assumption of 2% to 3% inflation? Is that linked to any kind of external indicators that you’re tracking? Just to understand what might cause that to move higher or lower going forward? Thanks.
Robert Swaak: Lars?
Lars Kramer: Yeah, I mean, the main thing that has changed in terms of our initial estimates is obviously the impact of that inflation number that you’re talking about. And in terms of linking to external indicators, I mean, we do try also to look at what is the sort of core inflation over time, rather than just the headline inflation? And obviously, that is in terms of our economic bureau as well, as part of the information that we would use. That inflation increases about 2% to 3% per annum, that we’ve included them.
Raul Sinha: All right. Thank you. And that’s 2% to 3% per annum until 2024?
Lars Kramer: Yeah. Correct.
Raul Sinha: Perfect. Thank you.
Operator: There are no further questions in the queue. So I will hand the call back to your host for some closing remarks.
Robert Swaak: Okay. Thank you very much. Thanks everyone for all the questions. I look forward to speaking again very soon. For now, good bye.
Operator: Thank you for joining today’s call. You may now disconnect your lines.